Operator: Greetings, and welcome to the EnPro Industries, Inc. Q4 and Full Year 2024 Earnings Conference Call and Webcast. At this time, all participants are in a listen-only mode. If anyone requires operator assistance, please press star zero on your telephone keypad. A question and answer session will follow the formal presentation. As a reminder, this conference is being recorded. It's now my pleasure to turn the call over to James Gentile, Vice President, Investor Relations. Please go ahead, James.
James Gentile: Thanks, Kevin, and good morning, everyone. Welcome to EnPro Industries, Inc.'s fourth quarter and full year 2024 earnings conference call. I will remind you that our call is being webcast at enpro.com, where you can find the presentation that accompanies this call. Joining me today is Eric Vaillancourt, our President and Chief Executive Officer, and Joe Bruderek, Executive Vice President and Chief Financial Officer. During today's call, we will reference a number of non-GAAP financial measures. Tables reconciling the historical non-GAAP measures to the comparable GAAP measures are included in the appendix to the presentation materials. Also, a friendly reminder that we will be making statements on this call that are not historical facts and are considered forward-looking in nature. These statements involve a number of risks and uncertainties, including those described in our filings with the SEC, including our most recent Form 10-Ks. Also note that during this call, we will be providing full year 2025 guidance, which excludes unforeseen impacts from these risks and uncertainties. We do not undertake any obligation to update these forward-looking statements. It is now my pleasure to turn the call over to Eric Vaillancourt, our President and Chief Executive Officer. Eric?
Eric Vaillancourt: Thank you, James, and good morning, everyone. Thank you for joining us today as we review our results for the fourth quarter and full year 2024 and provide a business update that introduces our outlook for 2025. Before we get started, I would like to thank our colleagues across the company for delivering another great year of results. I very much appreciate all of your hard work and the remarkable contributions that you make each day to enable our company's success. I look forward to continuing our work together as we empower technology with purpose and create opportunities for each of us to flourish and thrive. Now on to our results. EnPro Industries, Inc. performed well in 2024, executing effectively despite persistent weakness in semiconductor capital equipment demand and a sharp decline in commercial vehicle OEM sales. Excellent performance across the Sealing Technologies segment offset an overall soft demand environment in AST, which drove improved bottom-line results year over year. Thanks to the inherent balance and quality of the EnPro Industries, Inc. portfolio, and the resilience of our business model, we generated strong free cash flow in 2024 and ended the year with a net leverage ratio of 1.6 times, well within our desired range. In Sealing Technologies, our excellent performance and efficient operations drove an adjusted segment EBITDA margin over 32% for the year. We are very pleased with the strength of the segment and how our teams are positioning the businesses to drive above-market growth by leveraging our applied engineering capabilities and specification positions to deliver important solutions to our customers in areas where we have clear technology and process advantages. Our efforts to improve in valve sealing technologies to position the segment for world-class performance have unlocked significant value. In 2019, we embarked on our portfolio optimization strategy, and the sealing adjusted segment EBITDA margin approximated 17%. Through this purposeful and structural transformation, we have created a group of businesses that can deliver adjusted segment EBITDA margins around 30% consistently. Now that this portion of our evolution is complete, we are leaning into our strengths and our best growth opportunities, identifying adjacent markets for our products to drive long-term organic growth while considering selective acquisitions that would expand the segment's capabilities. AST revenue ended the year down roughly 10% as weakness in semiconductor capital equipment spending continued, partially offset by the strength of our solutions serving leading-edge applications. The low point of AST's revenue in 2024 came in the first quarter, and then sales modestly improved sequentially each quarter as the year progressed. Adjusted segment EBITDA margins finished the year above 21%, reflecting our resilient performance in a choppy demand environment. In total, EnPro Industries, Inc. reported approximately $255 million in adjusted EBITDA for 2024, up 7% year over year. Considering weak demand in areas of semiconductor capital equipment spending and the sharp decline in commercial vehicle OEM demand, we are pleased with EnPro Industries, Inc.'s adjusted EBITDA margins of 24.3% that are up 180 basis points from the prior year. Next, I would like to take a couple of minutes to share some recent highlights from our January leadership conference, where 85 leaders from across the company gathered to launch EnPro 3.0, the next phase of our purposeful value creation journey. Our teams aligned on our long-term strategic goals and focused on areas where we can accelerate profitable business growth and meaningful personal and professional advancement. But first, what is EnPro 3.0? We think of our company's evolution in three phases. Following our spin-off from Goodrich Corporation in 2002, the company's first phase was about permanently resolving significant legacy liabilities and establishing the beginning of our dual bottom-line culture. The second phase, EnPro 2.0, was about portfolio transformation. We began this phase in 2019, divesting a number of businesses and product lines that did not meet our growth, profit, and return criteria while reallocating proceeds from these divestments into growth markets where we added strong technological and applied engineering capabilities. During this phase, we optimized the EnPro Industries, Inc. portfolio and widened adjusted EBITDA margins by 1,000 basis points, creating significant shareholder value and returning nearly 27% annually since 2019. Upon a much more efficient and profitable portfolio, these moves optimized our go-forward portfolio and set the stage for EnPro 3.0, a period where we expect higher revenue growth coupled with best-in-class profitability and strong returns on invested capital. Successful execution of this next phase of EnPro Industries, Inc. will accelerate our value-creating strategy and continue our excellent track record of delivering double-digit shareholder returns. At the leadership conference, we had several discussions and exercises that focused on driving top-line profitable growth while encouraging our growth mindset to embrace challenges, refine our processes, and actively implement our continuous improvement playbooks to reimagine areas where both commercial market expansion and efficiency opportunities exist. I was struck by the genuine excitement that our leaders have for our businesses and their motivations to achieve profitable growth, unlock additional opportunities for our colleagues, and create value for our stakeholders. With our optimized portfolio in place, EnPro Industries, Inc. is positioned to generate mid to high single-digit top-line growth over the long term at strong profitability and return levels. For the next five years, we are targeting mid-single-digit growth in sealing, while at AST, we are targeting at least high single-digit growth, with both segments capable of generating 30% adjusted segment EBITDA margins, plus or minus 250 basis points. The entire team is excited to deliver the next phase of growth in EnPro 3.0. Before I turn the call over to Joe to discuss our fourth-quarter results in more detail and provide 2025 guidance, I would like to comment on safety, which is our most important core value. In 2024, our safety results for total reportable case rate and lost time case rate continued to be much better than industry averages, while proactive measures such as employee engagement, safety opportunities corrected, and training completion have risen by double digits. We are building on EnPro Industries, Inc.'s approach to safety culture by aligning with ISO 45001, Occupational Health and Safety Management Systems, to ensure repeatable processes and drive continuous improvement. This year, three EnPro Industries, Inc. locations received third-party certifications for ISO 45001. Joe?
Joe Bruderek: Thanks, Eric, and good morning, everyone. In the fourth quarter, sales of $258.4 million increased 3.7%, and organic sales increased 1.2%. The increase was primarily driven by strong sales performance in the Sealing Technologies segment and a recovery in European general industrial and food and pharma demand, as well as strategic pricing initiatives and the addition of AMI, which more than offset slower sales tied to wafer fab equipment at AST and a sharp decline in commercial vehicle OEM demand. Fourth-quarter adjusted EBITDA of $58.2 million increased 24%, and the adjusted EBITDA margin of 22.5% expanded 370 basis points year over year. Positive mix in both segments, the addition of AMI, the benefits of cost mitigation actions, and lower corporate expenses were the primary drivers of this year-over-year improvement. Corporate expenses of $13.4 million were down from $14.7 million in the fourth quarter of 2023, primarily due to the decrease in long-term incentive compensation expense related to cash-settled share-based rewards tied to share price performance compared to last year. Adjusted diluted earnings per share of $1.57 increased 32% compared to the prior year period, largely driven by the factors increasing adjusted EBITDA. Moving to a discussion of segment performance, Sealing Technology sales were $163 million in the fourth quarter, an increase of 11% from the prior year period. Strong demand in aerospace and nuclear markets, strategic pricing actions, the addition of AMI, and a recovery in food and pharma and European general industrial markets more than offset continued weakness in commercial vehicle OEM and Asian industrial markets. Organic sales increased 6.7%. For the fourth quarter, adjusted segment EBITDA increased nearly 32% from the prior year period, with adjusted segment EBITDA margin expanding almost 500 basis points to 31%. Positive mix, strategic pricing, improved volume, and the addition of AMI contributed to the strong year-over-year profit performance. We are very pleased with the impressive performance throughout the Sealing Technology segment and plan to continue making targeted investments to drive incremental organic growth, along with considering select strategic acquisitions that meet our rigorous criteria to expand our capabilities and market positioning. With two-thirds of the segment comprising critical specified positions in the aftermarket, and the sustained structural improvements made in the segment in recent years, we expect to continue achieving world-class performance in sealing and driving mid-single-digit top-line growth at superior margins. Turning to Advanced Surface Technologies, while we saw a sequential improvement from the third quarter, sales of $95.6 million decreased 6.4% year over year. Continued weakness in semiconductor capital equipment spending offset strength in solutions serving leading-edge applications, which continued to be a bright spot for AST in the fourth quarter and throughout the year. For the fourth quarter, adjusted segment EBITDA decreased approximately 7% versus the prior year period. Adjusted segment EBITDA margin of 22.1% improved sequentially by 130 basis points and was flat year over year. Positive mix and continuous improvement initiatives offset the overall volume decline, material cost increases, and operating costs related to growth investments. We were pleased that we were able to hold the line on decremental margin in AST year over year during the fourth quarter. We see several long-term revenue growth and continuous improvement opportunities throughout AST and are taking actions to unlock the potential of this business. We have made progress in identifying levers to implement our optimization playbooks that led to the improved performance within the Sealing Technology segment, and we expect this to enable us to expand margins in AST toward 30% plus or minus 250 basis points more consistently as volume and mix normalize. Finally, the accelerated cloud qualification work that we discussed last quarter in Arizona gained traction, and we generated small initial revenue from the facility during the quarter. We believe the long-term growth opportunities in AST far outweigh the recent market choppiness, which we expect to continue this year. Accordingly, we will continue to invest in the segment to drive high single-digit long-term revenue growth with improved profitability. Turning to the balance sheet and cash flow, our balance sheet remains strong, and we exited 2024 with a net leverage ratio of 1.6 times, inclusive of the $210 million in cash used to acquire AMI in late January of 2024. We continue to generate ample free cash flow to invest the necessary capital and operating expenses into our strategic organic growth opportunities. In 2024, we generated $130 million in free cash flow, net of $33 million of property, plant, and equipment, and capitalized software expenditures, in addition to approximately $7 million that remained in payable on December 31st. We have strong financial flexibility to exit both organically and through strategic acquisitions that broaden our capabilities. Our goal is to build on our leading-edge positions in markets with secular growth drivers that safeguard critical environments and applications that touch our lives every day. We are also maintaining our commitment to return capital to shareholders. During 2024, we paid a $0.30 per share quarterly dividend, totaling $25.3 million for the year. On February 13th, our board of directors approved another increase to the quarterly dividend to $0.31 per share, representing the tenth consecutive annual dividend increase since we initiated a quarterly dividend in 2015. Moving now to our 2025 guidance, taking into consideration all the factors that we know currently, we expect total EnPro Industries, Inc. sales growth to be in the low to mid-single-digit range in 2025. We expect adjusted EBITDA to be in the range of $262 million to $277 million and adjusted diluted EPS to range from $7.00 to $7.70 per share. The normalized tax rate used to calculate adjusted diluted earnings per share remains at 25%, and fully diluted shares outstanding are approximately 21 million. This view does not contemplate any material macroeconomic or trade-related variability. In 2025, capital expenditures are expected to approximate $50 million or around 4.5% of sales. We continue to invest in future growth opportunities across the company at accretive margin and return thresholds. In the Sealing Technologies segment, we expect demand drivers to remain largely the same as we saw in 2024 and expect low to mid-single-digit revenue growth in 2025. Areas with longer cycle backlog, such as aerospace, space, and nuclear, are expected to continue to be strong, while we expect commercial vehicle to be flat to slightly up. In North America and in Europe, we expect firm general industrial demand with some recovery in food and pharma. We expect adjusted segment EBITDA margin in the Advanced Surface Technologies segment, we expect AST sales to grow in the mid to high single digits, with the second half of 2025 being slightly stronger and adjusted segment EBITDA margins to remain above 20% for the year. Industry sources and conversations with our customers suggest continued weakness in semiconductor cap and equipment spending throughout 2025, and we are making targeted cost adjustments to account for this reality. While overall capital spending for wafer fab equipment will remain muted again this year, we expect our solutions serving leading-edge nodes and advanced chip architectures to grow. We also expect demand for optical filters to improve. Thank you for your time today. I will now turn the call back to Eric for closing comments.
Eric Vaillancourt: Thank you, Joe. As we enter 2025, we are energized and working hard to deliver another year of strong results for our customers and shareholders. We continue to operate the business with balance in an effort to achieve excellent financial results in a variety of economic environments. Our value-creating strategy remains unchanged, and we continue to invest in areas where we are strongest while considering strategic acquisitions that build upon our leading-edge capabilities. I want to again thank our dedicated colleagues across the company who are the driving force for our company's success. We believe we have built a clear path to achieve our vision of EnPro 3.0. Thank you for joining us today. There's no better time to be a part of EnPro Industries, Inc., and we now welcome your questions.
Operator: Thank you. I will now be conducting your question and answer session. Our first question is coming from Jeff Hammond from KeyBanc Capital Markets. Your line is now live.
Jeff Hammond: Hey, good morning, gentlemen.
Eric Vaillancourt: Morning, Jeff.
Joe Bruderek: Good morning, Jeff.
Jeff Hammond: We'll start with the sixty-four thousand dollar question. Semiconductor, you know, kinda just wanted a better you think you said mid to high single-digit growth for AST. So just trying to better get a sense of what you're assuming for, you know, WFE or wafer starts and when you think see an inflection or if the growth is really just all kind of, you know, outgrowth and leading-edge focus.
Eric Vaillancourt: I think it is mostly outgrowth and leading-edge applications, but I also see you're getting to some degree of the law of small numbers. That's just gone down so much. There's room to improve at this point. Also, a little bit of market share gain in there. We can look at our funnel and see some programs we've won. To give us some confidence we'll get to those numbers by the end of the year. I'm not looking for strong market recovery. Expect to be quite choppy throughout the year.
Joe Bruderek: Yeah. Jeff, I think when you look at a lot of the industry sources, they're kinda saying low to mid-single digits. You know, it varies depending on where you're exposed and, you know, how much China exposure you have or versus non-China. But that's sort of what we're expecting, you know, low growth in WFE overall for the market in 2025 and then, you know, the investments that we've made in growth initiatives that we have, especially on leading-edge applications to kinda outperform and that drives our overall kind of forecast for 2025.
Jeff Hammond: Okay. And then just how should we think about ASR sequentially? You know, you kind of ramped through 2024. I don't know if you know, you stepped back down or if the fourth quarter is kind of the new run rate to think about.
Joe Bruderek: Yeah. I think it's gonna be choppy, you know, for the first half a little bit again. We could see a little bit of step back to be slightly flat to slightly down. You know, in the first half, but not materially. We do think it will be second half slightly stronger than the first half overall for AST. So you could see some choppiness quarter to quarter, but I don't think you know, we're gonna see a material step down in any way. You know, we've invested behind all the growth investments. Arizona, as we talked about, had some initial revenue in the fourth quarter. You know, that testing revenue and qualification work will continue in 2025. But the reality is that that will be mostly spending ahead of demand for now. We see that ramping up a little bit through 2025, but materially production volume coming in 2026. And even beyond that as our key customers kinda ramp their volume. But, you know, it's another year of strong growth investments for us, behind AST. And then, you know, scaling with our customers as they grow.
Jeff Hammond: Okay. And then last one, just a lot of news flow on tariffs, so I know it's pretty new, but just how are you thinking about, you know, and how have you built, you know, tariff risk into the guide. Maybe just talk about any pricing actions you're considering and maybe just remind us of kind of any sourcing footprint, you know, China, Mexico, Canada.
Joe Bruderek: Sure. So most of our sourcing is done in region.
Eric Vaillancourt: And the largest part of our supply chain is actually source-directed by the customer. So the areas where we have exposure, we have three product lines, one small one in Mexico, one small one in Canada, then another one again, small volume out of China. Altogether, it wouldn't be material. And I also think it will be some offsets in the U.S. if and when the tariffs are enacted, depending on how much they are. But we've already got price plans in place and we'll also use, in some cases, we call them surcharges to capture them immediately. And so we can also adjust as the administration sorts out what they're doing. So we will capture most of the price and in any event, in the worst-case scenario, it wouldn't be material.
Jeff Hammond: And the customer-directed, you know, sourcing, is that, you know, or does that have pass-throughs for tariffs?
Eric Vaillancourt: We buy it at a net cost. Whatever price we get it from them at their net cost, so that tariffs would be included in there. And we would go from that point, Jeff. It would be in the base, if you will. It wouldn't affect us.
Joe Bruderek: Okay.
Eric Vaillancourt: The customers are specifying it.
Jeff Hammond: Okay. I'll get back in queue. Thanks.
Operator: Thank you. Next question is coming from Steve Ferazani from Sidoti and Company. Your line is now live.
Steve Ferazani: Good morning, everyone. Appreciate all the detail on the call. I was actually a little positively surprised by your AST margins quarter given I know you were going through that certification process. I assume there would have been a sequential decline actually had a sequential increase. Given the costs associated with that, was it just much better mix this quarter? Can you walk us through how you got to that sequential increase despite the certification process in Arizona?
Joe Bruderek: Yeah. Good morning, Steve. Yeah. We talked, as you mentioned in the last quarter about, you know, the qualification work that we're accelerating and pulling from 2025 into 2024. We did all that and, frankly, it went as according to plan. So we did see a little bit higher cost in the fourth quarter than, you know, we originally intended. But, you know, we did see positive mix, especially on leading-edge work, both in Taiwan and in the U.S. That drove favorable mix. Volume was pretty strong through the back half of the year or back half a quarter. And so that favorable mix ticked our margins up a couple of points. More favorable than we expected even going into the fourth quarter.
Steve Ferazani: As you expect the solutions to be the stronger side in 2025, and that's the better margin where it appears to be the better margin side, is there any reason to think you can get above low 20s in 2025 on the margin side?
Joe Bruderek: You're right in the fact that we do see the solution side to be stronger and that, you know, will kick our growth rate up a little bit through the year. But we continue to invest in the work in Arizona and in other opportunities for growth that are gonna really pay off in 2026 and beyond. So we're still investing ahead of demand. In the Frank, we're investing a little bit more than we did in 2024. So, you know, if overall volume growth is a little stronger than we're talking about and we're on the higher end of our overall revenue guide, I think we could see margins pick up a little bit. But the reality is they'll probably be, you know, in the same range as we saw, above 20%. In 2025.
Steve Ferazani: Okay. That's helpful. On the sealing side, I wanna ask the tariff question in a different way. We've seen some markets, maybe the spending on the industrial side, slow down given general uncertainty, Europe and other places being concerned about what might be coming. I know a lot of your stuff on sealing is mission-critical. But have you seen any kind of a slowdown given the uncertainty in the world?
Eric Vaillancourt: Short answer is no. We really haven't seen any slowdown at all.
Steve Ferazani: Okay. Fair enough. Last one on that the much higher CapEx next year. Anything specific you wanna highlight? And it looks like some stuff probably pushed out at 2024. Given how low that number came in. Is that fair?
Joe Bruderek: Yeah. That's right, Steve. I mean, as we talked about, we lowered our CapEx number as we moved through the year. A lot of the projects that, not Arizona, but other growth investments that we're making in additional capabilities both geographically and from a technology standpoint, kinda getting off the ground a little bit in 2024, and so as we refined the scope, laid out our engineering plans on that, you know, they were a little bit paced through the year. To start later than originally expected, so that's gonna push into 2025. Those projects are often going now. We're in execution mode. So we do feel a little bit higher, you know, confidence in our ability to spend at that level. And we did talk about we got probably our eyes got a little bit ahead of our stomach in 2024 a little bit, but we're off and running in those projects and, you know, the $40 to $50 million is probably our normal capacity to spend.
Steve Ferazani: Okay. Okay. Great. Thanks, everyone.
Operator: Our next question is coming from Ian Zaffino from Oppenheimer. Your line is now live.
Isaac Sellhausen: Hey, good morning. This is Isaac Sellhausen on for Ian. Thanks for taking all the questions. And also on the details on the EnPro 3.0 phase, I guess on AST, what would be sort of the steps or high-level thinking to get to the 30% EBITDA margins versus around 20% plus today? I guess the main drivers as far as, like, top-line growth or operational improvements or contributions from the Arizona facility? Thanks.
Eric Vaillancourt: Yes. It's our investments that we've been making the last number of years and we've had technology will start to pay off over time. In 2026, as Joe started to ramp up there. But in addition, there'll be some market share gain along the way and then a bunch of operational improvements. So when you look at it, it's the same as we ran in the sealing playbook. So we say it's an overnight success, but as you saw earlier in the script, it was from 2019 to today we've improved about 1,000 basis points. So it's a little bit of everything. It's a little bit of 80/20. It's a little bit of customer mix. It's a little bit of share gain, and it's a little bit of leading-edge technologies. They, of course, have a little higher margins.
Joe Bruderek: There's no doubt, Isaac. The majority of that will come from, you know, just growth whether it be market recovery or, you know, outsized growth that we're driving through our strategic positioning, but there will be a decent element from the continuous improvement and other operational programs that we're driving now that will take effect over a multi-year period that'll clearly be part of the algorithm to get to that 30% sustainably.
Isaac Sellhausen: Okay, great. Thank you. And then just a quick follow-up on the semi-cap equipment side. Maybe if you could find any kind of details you could give with the conversations you've had with customers and maybe sort of how they're thinking about growth beyond 2025 or into 2026? Thanks.
Eric Vaillancourt: Yes. So that I guess the best way to, I mean, conversation with customers, what they're saying is basically choppy 2025, and 2026 is too far ahead to have a great look at it right now. And the customers are hesitant as we are to say anything more than that because we've been saying now that it'll be coming back in six months now for two years. I don't know if we have more visibility than that. So I think Gartner is probably as good a reference as anybody right now, and our customers are fair amount of uncertainty. Still with what's going on with the U.S. situation, let's say.
Isaac Sellhausen: Okay. Understood. Thank you. Thank you.
Operator: We've reached the end of our question and answer session. I'd like to turn the floor back over to James for any further or closing comments.
James Gentile: That's all today. Thank you for your interest in EnPro Industries, Inc.
Operator: Thank you. That does conclude today's teleconference and webcast. You may disconnect your line at this time and have a wonderful day. We thank you for your participation today.